Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Kristian Nylen: 00:02 Good morning, and welcome to the Third Quarter Presentation. I'm Kristian Nylen, and joining me is our CFO, David Kenyon. So I will first give you a brief overview of the third quarter, and then Dave will come in and talk about the financial performance, and then I'll come back -- coming back and will talk a little bit more in depth about the third quarter. 00:29 So to the highlights, I think we had a great third quarter. Very strong performance with forty one point six million EUR in revenue, which is forty eight percent uplift on last year. For the full first-nine months, we're up eighty percent from last year. Very pleased with all numbers, and David will, of course, go through them more later on. 01:01 During the quarter, we also acquired Abios, which helps us transforming our sports betting also into an esports provider. With Abios, I think we have a great addition to the team, and I will talk more about it later. During the quarter, we have also expanded with our partner network with two new signings in BetCity in Netherlands and Island Luck in Bahamas. And of course, I will talk more about that later. 01:34 Finally, during the quarter, we launched in two new states Arizona, which was our fifteen states, and just after the quarter, we also launched in Connecticut, which I will talk more about later. 01:48 But for now, I hand over to David and I'll come back later. Thanks.
David Kenyon: 01:55 Thank you, Kristian. Good morning, everyone. My name is David Kenyon, CFO of Kambi Group. I want to start with the financial highlights for the quarter. So revenue was forty one point six million EUR, up from twenty eight point one million EUR in Q3 last year, that's a forty eight percent increase. 02:14 Operating profit was fourteen point seven million EUR, up from six point five million EUR, and operating margin was thirty five percent, up from twenty three percent last year, as our business model continue to demonstrate its scalability. 02:31 I want to talk to a few of the key events that are impacting the finances also this quarter. There's been quite a few. Firstly, the acquisition of Abios, which we completed in September. They were data content or some visualization services provider to industry operators and technology companies, and the leading B2B esports supplier. 02:53 We paid approximately fifteen million EUR upfront for the acquisition, and is around twelve million EUR as a potential earnout still to come in the coming years. And we used a strong balance sheet to finance a cash acquisition. 03:07 Secondly, the Netherlands. New regulations start in the Netherlands at the start of October. Some of our main operators did temporarily exit the market. But those who pulled out a confidence of getting licenses in the first half of next year. And we also have to mention JVH, here we did sign before regulation started, who also yet to acquire a license. 03:30 BetCity did launch from the first day of regulation, and we've been very encouraged by that start. The net effect of being in this newly regulated market with an incomplete suite of operators is approximately zero point four million EUR to zero point five million EUR per month on our EBIT. However, in the medium-term, we do expect it to be in a strong position in the Dutch market when all the operators do acquire their licenses. 03:58 Thirdly, in August, Penn National Gaming announced it had agreed to acquire the Score Media Group. This doesn't impact our current contractual agreement, but I really want to just highlight that based on the official data in the U.S., Penn National Gaming, they represent around five percent to ten percent of our revenue this quarter. 04:17 And lastly, I'm very pleased to mention the share buyback program that we initiated today. It's a twelve million EUR buyback program. Over the last years, our strong performance is really contributed to strong cash generation and that's put us in a position to be able to start this buyback program. So that will happen in the coming weeks. 04:37 This is the Kambi turnover index, which we always present. It's the aggregation of the results of all the operators. The blue columns are the aggregated turnover and the orange line is the aggregated operated trading margin. The turnover index, they started at one hundred when we first listed and it's indexed versus that. 05:02 You can see, it has fallen significantly to five hundred seventy five. It really impact of course by the migration of DraftKings. So this number here in Q3 almost entirely excludes DraftKings. If we include an estimation of what the DraftKings turnover would have been, if going through our books, eight hundred and seventy five to nine hundred is an approximate range that we think where would have landed. 05:27 From a seasonality perspective, Q3 is typically a very weak quarter in a sporting calendar. Really only in September, do we see a return of NFL as well as the soccer season in full swing in the major European Leagues, so that's worth highlighting this quarter. The margin was nine percent, obviously -- relatively strong compared to where we've been in recent quarters. But we do know the comments of one of our operators Kindred this morning around the weak sports betting margin at the start of Q4 and that is also true for us. 05:57 The results at the start of month have indeed been -- seen many favorites winning. But as we always stress, when we talk about operators' trading margin, whether it's a weak or whether it's strong, it's truly only a short-term impact and it's nothing that affects the long-term of the business. 06:12 And indeed, on the topic of margin, actually in our report today, we've raised our long-term guidance on margin to eight percent to nine percent. And this is really driven by the increased popularity of high margin products, which we're seeing much more now such as Bet Builder. 06:27 This graph is the conversion of our operator turnover growth to our revenue growth, and I have to again flag that this quarter is heavily skewed by the migration of DraftKings, with very little coming through our books actually in Q3. Without DraftKings, turnover is down fourteen percent versus Q3 last year. However, there in the third column, you see the impact of the trading margin, which at nine percent is significantly stronger than the seven point two percent we saw last Q3. 07:00 In the other column, they're pretty much a one-off is the impact -- positive impact of the fees without DraftKings in lieu of the service going through our books. So post-migration, we still see revenues from DraftKings in Q3 and that's significantly impacted our revenue here in the other column. And that took, overall revenue up by forty eight percent. 07:25 This is the last quarter where you'll see any impact from DraftKings. That service is now ceased. It's worth highlighting the DraftKings amounted to approximately thirty percent of our revenue for this quarter. If we exclude DraftKings from both this year and last year, underlying revenue growth was twenty two percent. 7:49 Here are the main feature of our balance sheet, still very strong balance sheet, as we've said in recent quarters, but it's getting stronger all time. So even after the fifteen million EUR acquisition of Abios, our cash balance was almost eighty five million EUR. Our cash inflow, excluding working capital movements and the acquisition was almost twelve million EUR, and we have a very healthy equity to assets ratio of almost seventy percent. 08:16 Lastly, I just wanted to give some updates on the addressable market that we presented in June at the Capital Markets Day. There's been some updates in important markets which were the kind of pillars of those assumptions on the left, there you can see in terms of addressable market. So the main changes this quarter have been in Arizona where we launched on day one of the market regulation in September in time for the NFL season. And we're now live with four operators, Rush Street, Churchill Downs, Penn, and Kindred. 08:49 Connecticut became the sixteenth state we launched in. When we launched in October with Rush Street Interactive, we want a competitive tender to partner the Connecticut Lottery but online and on property at fifteen locations. In New York, with a lead platform bid on two consortium bets, with the results of the RFP expected to be announced in December this year. 09:13 In Canada, legalization of single sports event wagering came into force in August. And Ontario is in the process of opening its markets to private operators. And the application process there began in September. And as I mentioned earlier, in the Netherlands, regulation started in early October. BetCity has started very strongly in that market and we have high hopes for other operators to be licensed in due course. 09:42 With that, I'll hand you back to Kristian.
Kristian Nylen: 09:46 Thank you, David. So, yeah, as we also mentioned during the Capital Markets Day, so we will update you around our four key pillars that we have, yeah, mentioned in the Capital Markets Day. And I think we have some really nice updates on all four of them. 10:09 Firstly, we delivered the Bet Builder for the NFL for American season. I will go through that more in detail. But so far, it has been a great success. On the differentiation piece, we have built and launched bar-top terminals. I will go through that more in detail later on as well. But again, very pleased with the reception we got for Bet. 10:42 On the power of the network, I think we have increased our AI capability significantly during the quarter and we launched successfully automate -- fully automated pricing on some of the lower tier soccer leagues. We have much more to come. And finally, on our scalable business model, we kicked-off a roll-out of the retail launches in Belgian National Lottery and we can do this remotely. And during Q3, we launched forty retail stores, and today we stand about eighty stores in total. 11:27 So Bet Builder for American football, I think this has been one of a key projects for the year, and it has been a fantastic success so far. We see -- when we look at the bet result on NFL, more than forty percent of bettors have been engaging with Bet Builder. And there are roughly twenty percent of all pre-game bets is on the Bet Builder. And of course, it is much higher margin on this product. 12:07 One thing we have that is unique in the market is that you can place with multi-game. So you don't only have to bet within game and the correlated bets, but you can also combine it with other bets. So you can have, for instance, a baseball match combined with an American football match, which is a great advantage and something that we are quite alone on. And roughly a third of our Bet Builders is combined within our event. 12:46 This is a big project. It started many years ago with soccer, and now we have rolled it out to American football. And we've -- I think, we are in a position where we can become much, much more fast with new sports. And I think or I know but during this weekend, we will start with college football which is giving us yet another edge and I think we are alone on delivering Bet Builders for college football. 13:24 And later in the year, we will expand on Ice hockey as well to have a great Bet Builder product. Timely enough for the launch of Ontario market of course. And next year, I think, more sports are to come. So we're very pleased with this product. I think Bet Builder is one of the key elements of any future sportsbook. I think it's very, very hard to create a product that is competitive. Most operators are using third-party solutions, whereas ours is fully built in-house. And now we have all the flexibility to keep on developing this. And I think in future years, you will see us going into Bet Builders in play and creating cash-outs on Bet Builders, and so on, and so on. So I think we are in a great position with what we have built so far. 14:28 Another thing that I talked about before is our bar-top terminals. I think this has been a request from many of our casino operators especially. And now during G2E, we exhibited this new bar-top betting terminal, which I think got great traction and many existing operators and prospects really liked it. This is very popular in the US market. Traditionally used for casino games and especially card games such as poker. 15:12 And as usual, I mean, we're taking our online product and adapted to suit very, very well in the retail market. We have been innovative before, especially when it comes to bring your own device, and so on. So, once again, very pleased to both being able to deliver something new upgrades to our current customers and future prospects. 15:43 Next thing I wanted to talk about is automation of our soccer odds compilation. This is a product that we have been working on for a while. Of course, there is probably many who will talk about being able to automate various soccer pricing. What we are doing, I would say, is very, very different. We are not looking at the market. These automated soccer compilation, we can actually open any market and that is what we're doing on more than one thousand games across twenty leagues during Q3. 16:30 So we can be first on a market, increasing slightly high turnover on this leagues and maintaining very, very strong sportsbook betting margin on this automated leagues, which is obviously something that we will roll out in much, much further scale. This is the first test, but I think it's a small step in a direction of a much, much higher grade of automation in sports betting. 17:07 Now I would like to talk a little bit about our acquisition of Abios. I would say that esports is something we started many years ago. We have some pricing. I wouldn't say we have had the strong focus to really become a leader in the field. But it's something we have been looking at -- and yeah, looking for the right timing to really become stronger in this field. 17:45 With Abios, I feel we have found a great partner, and I think Abios is a fantastic company. I really like the leadership and their technology. And I think it's a very, very good fit of cultures, so really pleased with it. I think when we looked at esports, especially during COVID when most of the things disappeared overnight in April last year or even March last year, esports was one of the things that was there and we saw that there is definitely future for esports. I still think it's a few years away, but I really think this is a great timing to start getting leadership role in the esports market. 18:48 During Q3, we also won a few new customer contracts. Island Luck, which is a clear market leader in Bahamas. Again, our focus in Americas is paying off, and we are very pleased to add Island Luck under the Bahamian market to our offering. Island Luck is regulated in the Bahamian market, and as I said, a clear market leader. 19:36 And then, BetCity, which we launched on day one in Netherlands. And so far, as David mentioned, have performed very strongly. They -- yeah, at the moment, it is actually our only operator in the Dutch markets. So very pleased with getting yet another strong brand in the Netherlands market. And I think for the future when we get all of our customers back, we will have a very, very good position in the Dutch market. 20:13 During Q3, we did a lot of launches with our existing partners. To start with, in Arizona, on day one, we launched with both Penn and Kindred and shortly after CDI was also following. And early in Q4, we also got Rush Street joining in Arizona, as David mentioned. For other states, we launched Penn in five new states during the quarter, and we also launched Kindred in Iowa and Parx in Michigan. 20:58 On property, we did two launches in Pennsylvania and Arizona with two of our partners. And as I mentioned earlier, we did thirty three retail locations in Belgium with Belgian Lottery. So we have been very, very busy. And I think this is one really strong ability we have to be able to support our partners to launch in so many different markets at the same time. And I think, it's a very core strength for us as a company. 21:38 After Q3, I think the highlight is us launching with Rush Street and with Connecticut Lottery in Connecticut. Connecticut, of course, is not the largest state, but Rush Street is one of only three operators in the state. So it's very important state still for us to be in. Rush Street will also have a great advantage. 22:15 The other two operators only have one retail spot each, whereas RSI will be located with fifteen different retail locations in much, much more urban destinations as well. So that is looking very good for us. We will -- yeah, as I mentioned, we of course also launched RSI in Arizona, and earlier in the month we went live -- we were raising Western Australia also. We expect Louisiana to be state number seventeen in a few weeks. So it is another busy quarter. 23:09 To summarize the quarter, yes, it's yet another very strong financial performance from us. Revenue up forty eight percent, and I think it's worth pointing out again. This is not the greatest quarter when it comes to sporting events. As a comparable to last year, it's quite a tough comparable, because last year the sporting calendar in Q3 looked way better than it usually do in Q3 due to the COVID effects. So we are very, very pleased to see that the performance is really holding up on a year-to-year comparable. 23:54 As I mentioned, we acquired Abios to become a leading player in the esports field. And other than that, I really think the future is looking bright. Our sales pipeline is very, very strong at the moment. And finally, we initiated a share buyback program today. 24:17 Thank you very much. And with that, we can take some questions.
A - Mia Nordlander: 24: 21 So thank you so much, David, and Kristian, and we will have time for some questions. And we will -- yeah, my name is Mia Nordlander and I'm Senior Vice President, Investor Relations of Kambi as well. So we start with the audio questions I think.
Operator: 24:39 Thank you. [Operator Instructions] Our first question comes from the line of Erik Moberg from ABG Sundal Collier. Please go ahead. Your line is now open.
Erik Moberg: 25:00 Hi, guys and thanks for taking my question. You mentioned the sales pipeline there. What type of potential clients is it that you currently are in discussion with? Is it up and coming operators that is about to launch an online brand or is it actors that currently have a sports product that are evaluating new options?
Kristian Nylen: 25:22 Hi, Erik, and thanks for question. So maybe I should repeat the question again. What type of customers do we have in our pipeline? I would say, it's a wide variety of customers. I think in U.S., it's mainly operators who are looking to get into the market. So I wouldn't say, we see a lot of operator at the moment that are currently doing business in sports betting. The same goes a little bit for what we see in Latin America. In Europe, however I would say, it's very different what we're looking at the moment where we see a lot of operators having our solutions or in-house solutions who are looking to change to Kambi at the moment.
Erik Moberg: 26:21 It's quite interesting there with regards to the Europe. So what type of actors? Is it more sort of -- do they actually look to source out a certain region or is it for their complete offerings or -- and also what type of actor is it? Is it publicly traded companies or is more private -- smaller private companies in Europe?
Kristian Nylen: 26:43 I don't want to get into more detail, but yeah, as I said, they are not insignificant and there are definitely companies that would bring a lot to the table for Kambi.
Erik Moberg: 27:02 Understood. And then just a follow-up on the current pipeline here. I mean, you signed with Fanatics game and you have agreement for potential -- potentially for New York. What's the latest in terms of the application in New York? And also, do you expect Fanatics to expand into other states and become a national player?
Kristian Nylen: 27:26 Yeah. The state of New York, I think we expect to get final decision somewhere late November, early December. Regarding Fanatics, obviously, we hope that it could extend to more states, but it's nothing I can comment on at the moment.
Erik Moberg: 27:53 Fair enough. And then, if we just look at the European side of the business, obviously Kindred now achieved its Dutch operation. However, my assessment is at least that Kindred's Dutch operation is really like just one part of your revenue. But how should one think regarding Netherlands going forward? I mean, you have signed with two clients already where one of them already have entered the market. Do you expect the net effect from this dynamic to be neutral, negative or positive?
Kristian Nylen: 28:26 Yeah. Thanks, Erik. So I mentioned in the presentation, at the moment, it's a negative. Whilst we haven't got a full suite of operators there, we're probably looking at zero point four million EUR to zero point five million EUR a month down. But if all those operators and the new operator JVH, they will get license, then we could be net -- could be a net positive position. But we have to see that, be closer to the time with the timing of the licenses and how the market pans out.
Erik Moberg: 28:56 All right. Fair enough. So looking into twenty twenty two portfolio, it could very well be a net positive in other words?
Kristian Nylen: 29:02 It really depends on timings in twenty twenty two, I'd say, but yeah watch this space.
Erik Moberg: 29:09 All right. Got it. And then just one last question here on the U.S. You mentioned there that turnover is flat year-over-year in the U.S. even when we exclude DraftKings within NFL. Do you think that this means that revenues could be up year-over-year given that you will have higher run rate and then also better mix impact to take rates?
Kristian Nylen: 29:41 Sorry. Can you repeat? I didn't really catch the drift to the question.
Erik Moberg: 29:44 Yeah. So, in U.S., you mentioned the turnover is flat year-over-year in NFL, even if we exclude DraftKings. But looking ahead here into Q4, obviously, you will have three large month versus one large month in Q3. And do you think that this means that revenues actually could be up year-over-year given that you will have a higher run rate, sportsbook margin driven, and then also have better mix impact through takes rates -- through take rates?
Kristian Nylen: 30:11 I mean, I just caution slightly with two things I mentioned earlier. One, of course is the Netherlands that impact. And also then the margin, which it has been weak at the start of the quarter, which we would expect to come back later in the quarter, but you know, we've already had best part of the month with the low margin. So I don't get too much into speculation about how Q4 will pan out really.
Erik Moberg: 30:34 Understood. That's all for me. Thank you very much guys.
Kristian Nylen: 30:39 Thank you.
David Kenyon: 30:40 Thank you.
Operator: 30:43 Our next question comes from the line of Marlon Varnik from Pareto Securities. Please go ahead. Your line is now open.
Marlon Varnik: 30:50 Yeah. Hi. Good morning, Mia, David, and Kristian. Just a question here. I mean, we thought Kindred Group getting upset this morning for Q4, extraordinary low sportsbook margin until twenty fourth of October. You said that you've seen similar spec up there. What can you say about the development on the U.S. market compared to the European market till the start of Q4?
Kristian Nylen: 31:18 I think this has been quite an odd quarter so far in that perspective. But I mean, it's quite bad results or player-friendly results maybe I should say, both in the European soccer and the American football. So it's not great at the moment. But as we said before, and I think long-term, we expect margins to -- on average become better. So I mean, it is a quarter, it is not very often nowadays where we have poor quarters, but yeah, it can happen now and then, but long-term, I'm pretty confident that our sportsbook margin is trending upwards rather than the other way around.
Marlon Varnik: 32:17 And are you still comfortable that they will achieve their trading margin guidance of eight percent to nine percent here in Q4 given the Q4 start?
Kristian Nylen: 32:28 I would say that our guidance is on a future numbers. So I mean, on every quarter or every month, we expect an average to be eight percent to nine percent. If you have a month in a quarter where it's significantly lower, of course, we would expect us to come in lower on the full quarter.
Marlon Varnik: 32:52 Perfect. Thank you. And it leads to operator trading margin guidance to nine percent? The historical average has been eight point five percent on a standard debt. But looking forward, I mean, I understand that it play more money lines in the U.S., but they do also play more parlays and also the depth it has actually is boosting too. So why don't you expect the sportsbook margin to continue its positive trend, an increase from the historical average?
Kristian Nylen: 33:22 Maybe we are a little bit too careful. But I would say that, I mean, we feel that we have enjoyed a few years of great sports betting margins. We have hardly have any months where we have seen really poor results. So maybe we are a little bit too cautious as you see. If you look at a few -- look, the last couple of years, we have averaged quite high numbers already. So it's not impossible that we would do a future adjustment even further. But at the moment, I think this is where we believe we should be.
Marlon Varnik: 34:10 And also, I mean, what's your expectations on the playing patterns in markets such as Latin America and Canada if you compare to, for example, Europe?
Kristian Nylen: 34:22 So Latin America, I think we have quite good evidence of Colombia so far. And I think they are very happy to play quite large parlays. So I would expect us to have quite, quite good theoretical margins in Latin America as a whole. Canada, I think, is a little bit trickier to evaluate at this point. I mean, single wager has been not legal for lotteries to offer for – yeah, since they started in Canada the lottery. So I think most of the players they are very used to use parlays. So I think it will be higher theoretical payback in the Canadian market than the U.S. market, but it's speculation at this point, I would say.
Marlon Varnik: 35:31 Perfect. And just the last question here. I mean, if you can give us an update on the Churchill Downs roll-out in the United States?
Kristian Nylen: 35:45 United States.
Mia Nordlander: 35:52 I think we're now live in seven states, I think.
Kristian Nylen: 35:58 Yeah. I think, it's accelerating. I mean, they've rebranded the TwinSpires brand. So -- and I think that's really been the cause of an acceleration in the roll-out with states. So it's when we've definitely got high hopes for looking forward at least.
Marlon Varnik: 36:12 All right. Okay. Thank you all.
Operator: 36:20 Our next question comes from the line of Viktor Hogberg from Danske Bank. Please go ahead. Your line is now open.
Viktor Hogberg: 36:28 Yes. Hi. Sorry. I was a couple of minutes late, so maybe you covered it, let me know if so. In the report, you state the perm is five percent to ten percent out of Q3 revenues derived from public data, have you said or have you seen anything indicating the length of the contract? You sign them in the mid of twenty nineteen. My assumption is that twenty twenty three could be covered. And you already said it's a long-term contract. Could you help us add some color on the length of it if you haven't already?
Kristian Nylen: 36:56 So, I mean, I don't want to comment on a relationship between us and Penn. But I can tell you this much, Penn themself commented on what we expected to move away from Kambi earliest in -- yeah, for a football season in twenty twenty three. So that's -- yeah, more than one point five year away. If that will hold up or not, I don't wanted to comment on. But yeah, I can't give you more light on the contract situation.
Viktor Hogberg: 37:51 Okay. We will see that maybe it's a situation where with the DraftKings situation where you compensated on revenues even if they move earlier, let's see. And on Netherlands, just checking the zero point four million EUR to zero point five million EUR was that on sales or EBIT?
Kristian Nylen: 38:06 That's on EBIT.
Viktor Hogberg: 38:09 You expect currently?
Kristian Nylen: 38:10 Yeah, EBIT. Very similar to be honest, but it's on EBIT.
Viktor Hogberg: 38:17 And monthly or quarterly basis?
Kristian Nylen: 38:18 That's on a monthly basis.
Viktor Hogberg: 38:21 Okay. Thank you. And just the Latin America opportunity that you talked a bit about on CMD. Could you help us on what to expect there in terms of potential timing?
Kristian Nylen: 38:39 I think, we see Argentina moving slowly towards more and more regulation. So I hope the timing there is -- yeah, in the coming months to be honest. Brazil, I don't really have any new update. We still hope that it will happen in twenty twenty two, but I don't really have any new updates since the Capital Markets Day.
Viktor Hogberg: 39:15 Okay. Thank you so much.
Operator: 39:23 Thank you. We currently have no further audio questions. I'll hand back to any other questions.
Mia Nordlander: 39:27 Okay, great. Then we have actually got some on the web here. So I think I'm going to start with you, David. You presented strong financial performance even compared to tough comparables due to a bit of sporting calendar last year. What were the key drivers behind this?
David Kenyon: 39:43 Yeah. I'd say, we're really seeing the fruits of our regulatory and sales efforts over the last years. We've launched into new states in the U.S. So numbers since Q3 last year we got Arkansas, Arizona, I mentioned that was in September, Michigan online, Virginia, Tennessee, that's five. We've also launched in Argentina. Kristian mentioned some parts of Argentina regulated since then and we launched new customers. So from the sales effort, so Belgian National Lottery, Casino Magic, BetWarrior and Nexus in Peru. And then we've seen growth from our existing operators. So I think, across the board, it's regulatory, sales and it's performance that is driving growth of the operators.
Mia Nordlander: 40:24 Great. Thank you, David. One for you, Kristian. Can you please comment on Kindred's poison pills ending twenty twenty three? Please elaborate on the long-term strategy regarding this matter.
Kristian Nylen: 40:39 I can't really comment very much on it. I think the only thing we have stated, it is in the notes of older EGMs and AGMs. So we have to look there. I can't really elaborate on the status more on that.
Mia Nordlander: 41:06 David, one for you here. Regarding Connecticut, how will you deal with Mohegan, FanDuel work going forward? Can you give some flavor around that?
David Kenyon: 41:14 Yeah, sure. We actually -- so we structure an amendment agreement with Mohegan Sun to allow them to pursue their FanDuel opportunity. What it meant for us was that we had actually recognized revenues -- we anticipated revenues from the deal. So over the term of the contract, they'll pay us the revenues we would have earned anyway. But it frees them up to do that I think with FanDuel. I think it's definitely worth mentioning then we also get working with -- in Connecticut with Rush Street. So we must have two revenue sources in that one state. So, yeah, we're very happy with the position with Rush Street and then that work with the Connecticut Lottery going forward.
Mia Nordlander: 41:52 Thank you. And another one for you Kristian. SBTech built their product over ten years and DraftKings spends several hundred millions improving it, and just the recent -- as post of margin in the U.S., they are quick -- we're quickly losing market share after migrating away from Kambi. With that in mind, how can Kambi comfortable doing it?
Kristian Nylen: 42:14 I think that is clearly a question for Penn rather than me. I can't really speculate. But I've said it before. I think, what we are doing is highly complex. It's not very easy to replicate. Many has tried in Europe and failed before. So, yeah, starting from scratch and getting something up and running in a couple of years’ time, I think, yeah, it's a tough task.
Mia Nordlander: 42:50 We have time for few more questions I think so, another one for you, Kristian. It's there a reason JVH Gaming is not live in Netherlands and when do you expect them to get the license or do you expect them to get the license soon?
Kristian Nylen: 43:03 I would assume there is a reason, I don't know what. So I hope and expect them to get the license as soon as we give out more licenses and hopefully sooner rather than later.
Mia Nordlander: 43:24 Another one for you Kristian. Usually a low hold rate happens in conjunction with high turnover. Does that relationship still holds in Q4 and any comment on what your thoughts are for quarter and quarter turnover growth?
Kristian Nylen: 43:37 Yeah. So that always holds true, I would say. It's quite simple. I mean, if players winning where we tend to spend more our winnings on betting. So that definitely holds true. It is a tricky comparable this year as well compared to last year. But, yeah, taking out DraftKings, because that obviously you have to do when you're looking at it, I'm quite confident we should beat the turnover compared to last year.
Mia Nordlander: 44:20 Okay. I think that was the question we had time for today. Thank you, both, Dave, and Kristian for presenting today, and we look forward to be here back again for the Q4 results, eleventh of February next year. So thank you very much and have a good day.
Kristian Nylen: 44:38 Thank you.